Operator: Good morning. My name is Mariama, and I will be your conference operator today. At this time, I would like to welcome everyone to Royal Caribbean Cruises Limited Fourth Quarter 2019 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. [Operator Instructions]. Thank you. I would now like to introduce Chief Financial Officer, Mr. Jason Liberty. Mr. Liberty, the floor is yours.
Jason Liberty: Thank you, operator. Good morning and thank you for joining us today for our fourth quarter earnings call. Joining me here in Miami are Richard Fain, our Chairman and Chief Executive Officer; Michael Bayley, President and CEO of Royal Caribbean International; and Carola Mengolini, our Vice President of Investor Relations. During this call, we will be referring to a few slides, which have been posted on our Investors website www.rclinvestor.com. Before we get started, I would like to refer you to our notice about forward-looking statements, which is on our first slide. During this call, we will be making comments that are forward-looking. These statements do not guarantee future performance and do involve risks and uncertainties. Examples are described in our SEC filings and other disclosures. Please note that we do not undertake to update this information in our filings as circumstances change. Also, we will be discussing certain non-GAAP financial measures, which are adjusted as defined and a reconciliation of all non-GAAP historical items can be found on our website. Unless we state otherwise, all metrics are on a constant currency adjusted basis. Richard will begin by providing a strategic overview of the business. I will follow up with a recap of our fourth quarter and full year results for 2019. I will then provide an update on the current booking environment, then provide guidance for the full year and fourth quarter of 2020. Richard?
Richard D. Fain: Thank you Jason and good morning everyone. Obviously the biggest issue of the day is the Wuhan Coronavirus, and as you all know this virus has infected over 20,000 people in China and they have taken unprecedented steps to contain it. They've essentially locked down the country and they're acting quickly and aggressively to combat the spread, so have other countries. Unfortunately, no one knows how this outbreak will play out, and we don't know how it will ultimately impact us. So far, we've cancelled some sailings and we've modified some itineraries that extend through March 4th. These actions will cost us approximately $0.25 per share, but it seems likely that we will have to cancel more, but we don't yet know how many. We also expect that there will be an impact on future bookings in China, especially in the immediate aftermath of the illness but again we just don't know.  One important bright spot is that looking beyond the current outbreak we aren't seeing a big impact on overall bookings elsewhere. But again, and here I'm sounding like a broken record, we just don't know. To put things in context, China was expected to account for about 6% of our full year capacity and 4% of the capacity in the first quarter. Spectrum of the Seas is currently our only ship in China with two other ships scheduled to enter the market in May and July respectively. Spectrum was doing very well before this outbreak, so this is all very disappointing to us. So far, we've had to cancel eight China sailings and modified several itineraries that go through March 4. Unfortunately, there are still too many variables and uncertainties regarding the situation to calculate the overall impact on the business or give you a good estimate of what the ultimate impact will be. That said, we continue to feel positive about and committed to the long-term growth potential in China, a market that we've been in for more than 10 years.  In conjunction with CLIA, our industry trade group, we have initiated strong safeguards to help contain the spread of the disease and to protect our guests and crew. These include regardless of nationality, the company will deny boarding to any individual who's traveled from, to, or through Mainland China or Hong Kong in the past 15 days. These guests will receive full refunds. There will be mandatory specialized health screenings performed on guests who have been in contact with individuals who have traveled from, to, or through Mainland China or Hong Kong in the past 15 days. All holders of China or Hong Kong passports regardless of when they were last in China or Hong Kong, guests who report feeling unwell or demonstrate any flu like symptoms, and these standards also apply to employees, crew members, and contractors. All these steps that we're taking and others are taking are expected to ultimately contain the virus, but we don't know how long that will take.  Now, returning to 2019. I will start out by saying that it was another incredibly busy and successful year. Our teams achieved all-time record financial results delivering an adjusted EPS of $9.54 while introducing three new vessels, launching the very successful perfect day destination, consolidating Silversea, modernizing six ships, and implementing its Excalibur on most of the fleet. Our guest satisfaction scores are at an all-time high and so are our employee engagement scores. I'm gratified to note that our teams achieved these record results while also having more than their fair share of unique incidents like the Oasis dry dock, Cuba, Hurricane Dorian, etc. I believe that this is a testament to a strategy that works, a product that's great, and a group of people that is the best at what they do.  Now this particular earnings call is special as we are once again announcing a new set of long-term goals. Our management team is very goal oriented, and we have found that establishing clear, simple, and ambitious targets motivates our people and drives superior results. This worked successfully with projects as diverse as Double-Double, Perfect Day, and Project Edge. Our people are amazing and when we get all of them pulling in the same direction, nothing stops us. In this case, our idea is to focus on what we're calling the three P's: people, profit, and planet. We strongly believe that if we attend to these three elements we can achieve even greater heights. We're calling the program 20>25 by 2025. The program consists of five goals, the first two of which are reflected in the title.  Slide 1 shows the logo we're using internally for this program. The first goal is to reach adjusted earnings per share of $20 per share by 2025. We think that's a worthy goal on its own, but I remind all of you on this call that our real objective is not to reach these goals but to exceed them. It's a bit like tennis where they always tell you not to hit the ball but to hit through the ball. Our goal is not just to improve 2025 results, it is to use that as a steppingstone to a new base that will take us to new and better highs. The second goal is to reduce our carbon footprint by an additional 25%. That's on top of what we've already achieved with our WWF commitment today. Now this goal that we're announcing today is 10% greater and will be achieved five years earlier than the International Maritime Organization's goal, it's a big deal. The third and fourth goals are to increase our employee engagement from the record levels we're currently enjoying. We always emphasize that our success is based on the awesome work of our employees, and we want to ensure that we're taking the steps necessary to generate their continued commitment. We are also proud of the level of guest satisfaction that this commitment produces. Our fourth goal therefore is to continue to raise those satisfaction metrics.  Lastly we need to accomplish all this while ensuring that we keep our focus on the returns we generate on invested capital. This involves maintaining a high level of discipline on capital spending and on operating leverage. We believe that we will do well even without such a program. Nevertheless adopting the clear and simple 20>25 by 2025 goals will help guide our decision making every day. That will focus our attention on people, profits, and planet. These 2025 goals really motivate and drive performance which in turn not only makes these goals -- makes achieving these goals more likely, it makes exceeding these goals more likely too. We do intend to provide greater detail on the specifics of the 20>25 by 2025 program in our 10-K which will be out in a few weeks.  Now I'd like to update you on the booking environment for the year. Jason will give a little more but I want to focus on it and given the uncertainties around the virus all of my comments will exclude the impact of that. We're always eager to start the year and see what Wave season brings. It's an important part of our volume but it also serves as a harbinger for the rest of the year. And I'm happy to say that this year's Wave makes us very optimistic about 2020. I'm always amazed by how accurate our revenue management teams have been in the past and this year they expect yields to increase broadly in the range of 2.25% to 4.25%. As always there are some areas that do better than others and some special circumstances for example the brushfires in Australia but overall our forecast was for a nice bump to our already excellent 2019 yields.  Now it's also important to look at the cost side of the equation and we estimate that our net cruise cost excluding fuel will be up 1.75% to 2.5%. Our cost outlook reflects our culture of continuous improvement and innovation. Nevertheless as I've mentioned in the past costs are not always perfectly aligned with the benefits they carry. For example we continue to invest in our people, in new technology, and our sustainability efforts as well as digital. In all these cases we've spent money in the past two years and we will continue to spend money in 2020. Something similar can be said regarding the employment of our capital. These decisions are focused on the long-term of our business and I believe they are very much in our investors best interests.  Lastly I will brag a little bit about our stunning new ships in 2020. Among them is the first full year of operation of Spectrum of the Seas, Celebrity Flora in the Galapagos and Mein Schiff 2 in the German market. All these ships had a phenomenal inaugural season in their respective markets and we're very happy with their performance. However during 2020 we'll deliver four additional new ships Celebrity Apex for the Celebrity brand, Silversea Moon and Silver Origin for Silversea Cruises and Odyssey of the Seas for Royal Caribbean International. All these new vessels attract significant premiums and will help position 2020 for another year of strong yield growth and success. With that I will now turn the microphone back to Jason. Jason. 
Jason Liberty: Thank you Richard. I will now take you through our results for the fourth quarter of 2019. These results are summarized on Slide 3. For the quarter we generated adjusted net income of $1.42 per share which is slightly higher than the midpoint of our guidance. In summary, revenue came in as planned and better than expected performance from our joint ventures and below the line activities more than offset the increased costs. On the revenue side net yields were up 6.8% for the quarter in line with our guidance. Approximately 300 basis points of the yield growth was driven by the benefits of Silversea, Perfect Day, and Terminal A. New hardware and like for like yield improvement drove the other 380 basis points of yield growth for the quarter. On the cost side net cruise cost excluding fuel per APCD were up 15.9% which was higher than guidance driven mainly by marine related costs and employee related expenses. In addition during this quarter we repurchased $100 million in shares.  I will now discuss our full year results which we have summarized on Slide 4. By all accounts 2019 was another year of very strong performance. We generated over $2 billion in adjusted net income resulting in earnings per share of $9.54 making 2019 another record year. This record result was achieved despite the unfavorable impact from the incident in the Grand Bahama Shipyard, the abrupt cancellation of voyages to Cuba, and the operational disruption generated by Hurricane Dorian. Our leading brand and world class workforce delivered this strong financial performance while also driving record net promoter scores and record employee engagement metrics.  To summarize the revenue performance for the year, yields were up 8% crowning a decade of uninterrupted revenue growth. This result was almost 50 basis points higher than our initial January guidance despite an 80 basis point headwind from a combination of a Cuba policy change, Hurricane Dorian, and the Grand Bahama incident. Strong demand from our core products for our key markets, the higher pricing related to our private destinations in the Bahamas drove the overall outperformance for the year. Now the main driver of the year-over-year improvement was strong like for like yield growth, our incredible new hardware, the launching of Perfect Day, and the consolidation of Silversea. On the cost side net cruise cost excluding fuel were up 11.4%. The main driver behind the year-over-year increase was the consolidation of Silverseas operations, the new operations of Perfect Day, and our terminal in Miami. Lost APCDs due to the Grand Bahama Shipyard incident and investments in technology and digital capabilities drove the balance.  Now I will update you on what we are seeing in the demand environment, over the last three months bookings have been consistently outpacing same time last year and Wave is off to an excellent start with 2020 booking trends ahead for each of our four brands. In fact the second full week of January was a record booking week for the company. Pricing has also been strong and as a result 2020 is booked ahead of same time last year in both APD and load factor on a like for like basis. We've been highlighting ongoing strength in demand from North America for at least two years and I'm happy to say that there are no signs of a slowdown. In fact we are seeing better overall pricing and demand from North America than ever before with Perfect Day and our ship modernization program providing a clear boost. We are centered to the fact that this is an election year in the U.S. consequently we have modified our booking curves to reflect the short lived slowdown that we typically see during the second or third weeks surrounding the election.  Now I'll give you a brief overview of our capacity and deployment changes for 2020. Our overall capacity will increase 4.8% year-over-year. Itineraries in North America account for close to 60% of our capacity and are trending very well. We've slowly increased our capacity in the Caribbean driven by inaugural winter seasons for Celebrity Apex and Odyssey of the Seas and therefore the product will represent just over half of our overall deployment. Other key itinerary changes include a year round short Caribbean program or Independent to the Seas visiting Perfect Day and a summer program for the modernized Oasis of the Seas in the Northeast. Bookings for the Caribbean have been nicely higher than last year and all signs point to this year as being our best Caribbean season yet.  Alaska sailings account for about 5% of our capacity and are booked nicely ahead of same time last year. We've said we increased our 2020 capacity with an incremental ship for Royal Caribbean more than offsetting the redeployment of an Azamara ship. As it pertains to Bermuda, this product only accounts for a small portion of our overall capacity and is also booked well ahead of same time last year. Now the robust booking environment trends from North American guests are also benefiting itineraries in Europe. We also expect trends in the UK to be more predictable this year given the recent BREXIT withdrawal agreement. That being said we have made some changes to our European itineraries to reduce dependence on European markets and provide even more global appeal. Overall European sailings will account for 17% of our capacity this year with dry dock, timing, inaugural seasons for Celebrity Apex and Silver Moon driving capacity up year-over-year. Bookings were similar to the same time last year over the past three months and had been up nicely during Wave.  Now moving to Asia Pacific, these itineraries account for 17% of our full year capacity and account for 21% in the first quarter. China in particular represents 6% of our capacity for the full year and 4% in the first quarter with one ship Spectrum of the Seas at home ports in Shanghai. China sailings were trending particularly well prior to the outbreak of the Coronavirus with APDs up nicely year-over-year and load factors in line with our expectations. As I've noted it's clear that the virus will impact revenue in China at least in the short-term but nevertheless our plans to continue to grow in this profitable market remains unchanged.  Australia sailings account for 7% of our capacity and our books slightly behind for the year. However recent trends in Q1 and Q2 have been better with particular strong closing demand from the Australian market during Wave. Taking all of this into account if you turn to Slide 5 you will see our guidance for 2020. As a reminder and as Richard mentioned there remains too many variables and uncertainties to reasonably estimate the overall financial impact relating to the Wuhan Coronavirus outbreak. As such our guidance and key metrics for the full year and the first quarter do not include any financial impact that relates to this very fluid situation.  Our yield outlook for 2020 is very strong, we expect net revenue yield growth of 2.25% to 4.25% for the full year which makes 2020 our 11th consecutive year of yield growth. The underlying yield improvement is driven by new hardware, strong demand for our core products, and continued growth from our onboard revenue areas. As I previously mentioned we are very excited about the introduction of our four new ships during 2020 as they will be important contributors to the overall net yield growth. Now the timing of the new ship deliveries will result in more significant yield growth in the second half of the year than in the first half.  Net cruise costs excluding fuel are expected to be up 1.75% to 2.25% for the full year. Cost control continues to be a focus, however, this metric will have an uneven cadence throughout the year mainly driven by the dry dock schedule, the new ship deliveries, and year-over-year comparables. This will result in a more significant cost increase in the first half of the year than in the second half. Our depreciation for the year will be in the range of 1,376 million and 1,392 million. As a result our investment in technology and digital projects are becoming a larger mix of our capital program and generally have a shorter useful life than our typical capital investments. Also this year we will deliver two new Silversea ships.  As I mentioned in the past being in a luxury expedition segment Silversea's depreciation per berth is significantly higher than our corporate average. We have included 744 million of fuel expense for the year and we are 54% hedged. Based on current fuel pricing, currency exchange, and interest rates, and excluding the impact from the Coronavirus, we expect another record breaking year with earnings per share between $10.40 and $10.70.  Now I would like to walk you through our first quarter guidance on Slide 6. Net revenue yields are expected to be down approximately 0.5%. Demand for the core products is very strong and our core Caribbean yields are up nicely for the quarter despite a difficult comparable. Now while Wave bookings trends have been strong for itineraries based in North America and Europe, recent events around the globe have impacted demand for some of our international itineraries specifically the unprecedented bushfires in Australia and recent activities in Hong Kong and the Middle East are each having an outsized impact on revenue for the first quarter. Moreover it is important to highlight that first quarter is also being negatively impacted by other structural elements such as the discontinuation of Cuba sailings which equals a headwind of approx me 120 basis points, the lack of new ship deliveries, and a tough year-over-year comparable as we are lapping the inaugural season of two new ships during the first quarter of 2019. Notably both Symphony of the Seas and Celebrity Edge had very successful inaugural seasons in the Caribbean last year. Additionally FX and fuel are negatively impacting the quarter year-over-year by approximately $0.15.  All these issues make for a tough first quarter in terms of revenue growth. Net cruise costs excluding fuel are expected to be up approximate 3% for the quarter. Taking all this into account and excluding any impacts from Coronavirus we expect adjusted earnings to be in the range of $0.80 to $0.85 per share. Before we open up the session for the Q&A I will highlight that we are very excited about the introduction of our 20>25 by 2025 goals that will further support our focus on our people, driving profit, and taking care of our planet. We have stressed before that our strong financial performance is driven by modestly growing our yields, effectively managing our costs, and moderately growing our business. With that formula in mind we have now set a goal of $20 in earnings per share by 2025 which equates to a compound annual growth rate of almost 14% while delivering strong returns on invested capital. This is a meaningful growth trajectory but we believe that we have the right formula and the right people to get this done.  At the same time we are pairing these ambitious financial goals with environmental targets specifically with reducing our carbon emission by 25%. This does not happen overnight. We have been working on this for some time already with our world class design, engineering, and operation teams developing new and different products and processes to meaningfully and positively affect our environmental impact. With that I will ask our operator to open up the call for a question-and-answer session.
Operator: [Operator Instructions]. Your first question comes from Steve Wieczynski with Stifel. Your line is open. 
Steven Wieczynski: Hey guys, good morning. So I know you are going to get a bunch of questions about China and I know this virus noise is a total unknown. But have you guys thought about any contingency plans in case this virus impact lasts longer than expected, and I guess what I mean by that is what options do you have for those ships that are in affected markets? Can you can you move those, would you try to move those, or could you actually take them out of service for a period of time?
Michael Bayley: Hi Steve, it's Michael. Yeah, I mean obviously we have contingency plans for all of our ships deployed globally, and it’s part of our overall planning process. So, in the case of -- at the moment, it's really Spectrum that's been removed from the China market and that's safely sailing with our crew. We have plans obviously, but I think as we've all said, it's really difficult to understand what is going to happen. I think we're all waiting to see. But we do have alternative plans in place, and we can either redeploy regionally or outside of the region, but we do have plans in place.
Steven Wieczynski: Okay got you. And then Richard or Jason, you gave a lot of good details about your new 20>25 program, but can you help us think a little bit about -- think about what some of your underlying assumptions are that go into that, and I guess what I mean is that you're basically assuming around kind of 14%ish earnings growth per year which is obviously very, very strong. Are your yield assumptions for the next couple of years kind of still inside that normal what you guys would call a normal 2% to 4% yield range?
Richard D. Fain: Yeah, Steve we set up these programs really to motivate our management, and I emphasize that these aren't -- we're not making predictions here, we're setting goals. And our focus is to try and not only get people to focus on doing their job more effectively but also to use innovation to find new and different ways to do it. So, I don't think I'm in a position to say well, we're going to do this by yields and this by costs and this by new investments, etc. We're looking at the whole panoply. And again, I would also emphasize we're looking at five goals and we think these are all very much interrelated. We're not going to get the earnings we want if we don't get good returns on our invested capital. We're not going to get good growth in our yields if our guests aren't happy and our crew members aren't engaged, and our people aren't focused. So, all these things work together and we think together that's the way to achieve our best outcome. But we haven't broken it out in terms of this much from yield, and this much from something else. 
Steven Wieczynski: Okay, got you and then Jason one quick housekeeping question if I could. Your capacity growth for the first quarter is 4.5%. Any idea what that would look like once you remove the eight sailings that have been canceled right now, is that material to that number?
Jason Liberty: Well, it will certainly decrease. I think it will decrease it by about a 100 basis points for those eight canceled sailings based off of what goes through the March 4 date. 
Steven Wieczynski: Okay, great. Thanks guys, appreciate it.
Operator: Your next question comes from Harry Curtis with Instinet. Your line is open.
Harry Curtis: Hi, good morning everybody. My first question has to do with the first quarter. You had given us a great deal of detail, but there seems to be a fair difference in the equity pickup line item in 2020 versus last year. Can you speak to what the extent of that is and to what degree the Grand Bahama JV contributed last year, and your expectations that have been built in for 2020? Thanks. 
Jason Liberty: Yeah, good morning Harry. Actually, you really hit on the main driver below the line is the Grand Bahama Shipyard, and the loss of the dock for that yard, and so we do not expect that dock to be back on line in 2020, likely in 2021. So, the income that we were receiving which of course since it is a joint venture, and it's an equity pickup, that's where we had expected it to be and that's what's affecting us.
Harry Curtis: Okay, and the second question, going -- looking out to 2025. How much cash do you think you should be able to generate after all CAPEX over the next five years, and are you in this goal, not necessarily guidance, are you assuming any share repurchase in this? Thank you.
Jason Liberty: Yeah. So, we're not going to get into the ebbs and flows of what's there. I mean I think our formula for success, which is moderate yield growth, good cost control while investing in our business and growing our business, and I think at least for the next three or four years there's a very good understanding on how our capacity is going to grow as part of that. I think when you look at -- if you run that 14% CAGR and you keep in mind that our goal is to maintain our leverage between 3x and 3.5x that that will leave you with a substantial amount of cash that will be available to shareholders. 
Harry Curtis: But you should, just directionally, you should be also generating some operating cash, a reasonable amount of operating cash net of CAPEX? 
Jason Liberty: With that growth rate, yes. 
Harry Curtis: Okay, very good, appreciate it. Thank you very much. 
Operator: Your next question comes from Jared Shojaian with Wolfe Research. Your line is open.
Jared Shojaian: Hi, good morning everyone. Thanks for taking my question. So in the prepared remarks you noted that you're not really seeing big impact on the non-China booking since the virus, can you maybe elaborate a little bit on that in terms of what you have seen with bookings or cancellations in the last week, and then can you also just update us on what percentage of your deposits today are non-refundable versus what that was maybe five years ago and how that could be helping in this environment?
Michael Bayley: Hi Jared, this is Michael. Good morning. Yeah I think we're kind of pleased with what we're seeing in all of our markets around the world with of course the exception of what's occurring in China. When you look at the call center inbound activity as it relates to questions, concerns that both our trade partners and our customers are asking us, any issue related to the virus is relatively small. There are inquiries asking what our policies and practices are, etc. But it's really a tiny percentage, it's under 1.5% of the calls coming in. And we feel good about the booking activity for Caribbean, Alaska, and Europe and generally international. With regards to the second question on the non-refundables, we didn't have them in place five years ago. I think if I recall we introduced them about three -- two to three years ago. I'm very pleased with the results that we have. I don't think we've ever given an actual percentage number of non-refundables but they're very attractive to the customers and of course they're very sticky bookings. So we're pleased. Year-over-year we've seen improvement in the number of customers who choose that option. 
Jason Liberty: Just to add onto it, I think last week just remember that it was the Chinese New Year. So our expectations on booking activity was actually pretty low. Our commentary or my commentary around the booking environment is really what we're seeing to date. So when we think about being in a strong reposition, load factor position, our commentary or strength around North America's demand for North American products and European products, on the positive commentary about Europe is all kind of incorporating what we've been seeing. If you actually look at our 2020 bookings since our last call our booking activity is up 6% versus a person at that point in time. So if you take out the Coronavirus just for a moment what you're seeing is really kind of continued strength in demand for our brand and for our products.
Jared Shojaian: Okay, thank you. That's helpful. And then just as a follow up last year you were talking about double-digit premiums for itineraries that had CocoCay, are you still seeing that right now or is there some degree of when you bring a new ship on there's inaugural pricing and then you start lapping that, are you still getting those same type of premiums today. And then in your yield guide of 2.25% to 4.25% how much of that is because of CocoCay both the ticket and the non-ticket assumptions?
Michael Bayley: Hi Jared, this is Michael. I'll let Jason respond to the question on the yield guide but with regards to Perfect Day and the demand that we're seeing coming through we're very pleased with both demand and rate, and I think the volume that we're expecting out of Perfect Day sure is close to 2.4 million guests. We've deployed more ships into Perfect Day and we've been really pleased with both the demand and the pricing for the product.
Jason Liberty: So you're taking the midpoint of our guide about a 100 basis points is going to be driven by the new hardware that's coming on and the balance of that which also includes Perfect Day is coming from like for like improvement. So we're -- I would say we are very, very kind of encouraged and we're not going to break out five months of Perfect Day in terms of our yield guidance.
Michael Bayley: Just to add to that on Friday we opened up the Coco Beach Club in Perfect Day and that is another new element of the experience and the over -- well the cabanas is selling for $1500 a day and they are pretty much booked at. 
Jared Shojaian: Great, thank you very much.
Operator: We kindly request that you limit yourselves to one question and one follow-up question. Your next question comes from Felicia Hendrix with Barclays. Your line is open.
Felicia Hendrix: Hi, good morning and thank you. Jason I was just wondering if you could dissect for us the $0.25 impact or the anticipated I should say $0.25 EPS impact from the cancelled eight cruises just wanted to clarify or ask if that's mostly cost, I know that when you cancel cruises there's usually not -- there's usually not a corresponding yield impact since you're removing the APCDs but in this case especially the Chinese New Year cruises some of those yielded -- I'm wondering some of those yielded higher than your corporate average and if so if there was any yield impact or if you're anticipating any yield impact from the cancellations? 
Jason Liberty: Yeah, so on that $0.25, the vast majority of it, so maybe a couple pennies of it is cost related and the balance of it is really -- it is going to be a top line driven. As you pointed out Felicia we did lose two sailings that were during that very high yielding New Year's week. So we do expect it to play a little bit on the yield especially in the first quarter and less so on the balance of the year as those APCDs get taken out. Obviously on the absolute revenue side the vast majority of that $0.25 will come out of our top line? 
Felicia Hendrix: Right, but is there any way to kind of help us understand in your guidance how you were -- I guess it's not in your guidance but how to maybe think about the higher yielding -- loss of the higher yield increases because like if they were lower yielding than your corporate average they would not have an impact on the yields, right?
Jason Liberty: Right, but in the first quarter they are slightly higher than our quarter average but as it is for the full year it's pretty close to the overall average.
Felicia Hendrix: Okay, but there is no way to help us figure out if we wanted to layer it in our estimates?
Jason Liberty: No, we're not going to be guiding for the first quarter or the full year as it relates to us.
Felicia Hendrix: Alright, and then just regarding your commentary on Australia, I'm just wondering if you could help us understand what your deployment to Australia is specifically on a quarterly basis and for the full year and maybe help us know what are you doing to mitigate the lower demand you're seeing for the region or any alterations you're making to accommodate for this situation there? And then also just hoping you can reconcile the comment that closing bookings are strong for Australia with the impact you're seeing in Australia?
Jason Liberty: Sure, so Australia for the year Q1 and Q4 are the heavy periods. There is a little bit that happens in Q2 so in the first quarter Australia is about 12% of our capacity, in the fourth quarter it's about 11% of our capacity. In the second quarter it is about 4% of our capacity. So really the commentary was during those brushfires what we saw was obviously the consumer, the local consumer was very focused on what was happening there in their country. So we saw a little bit of pullback in terms of activity for close in. What we did see as things kind of settled down there is an acceleration of demand. And so we were able to fill those ships, we were able to fill the ships but at slightly lower pricing just due to the timing of all of it. 
Felicia Hendrix: Are you seeing more normalized behavior now.
Jason Liberty: Yes. 
Felicia Hendrix: Okay, great. Thanks. 
Operator: Your next question comes from Jamie Katz with Morningstar. Your line is open. 
Jamie Katz: Hi, good morning. You guys have made some commentary that you were reducing dependence on European markets. I think that's not surprising given some of the commentary we've heard in recent quarters. But do you have any additional insight on the implied weakness that that would offer us maybe what you're seeing on a more country or regional specific basis?
Richard D. Fain: Yeah, I'll just make a few comments and Michael can jump in. It's not a question of us shifting our sourcing based off of what we're seeing today. Based off of what we were seeing last year our brands made changes to their deployment that really maybe the global appeal greater. Meaning that you can source from more markets versus maybe having a ship that was significantly dependent on the UK market as an example. So our sourcing is a little bit different for Europe this year but a lot that's just driven by us globalizing the sourcing markets for our brands and our products that are based in Europe.
Jamie Katz: Okay, and then can I just get a clarification on Alaska. I think you had said that it was ahead in bookings but I don't know if there was a commentary on pricing and I know for Carnival that was sort of a dodgy area last year. So if you have any insight on the pricing in the region that would be helpful? Thanks.
Richard D. Fain: Yeah, I would just comment in general if you take out Azamara, because Azamara won't be in Alaska this year, it is one of our higher yielding brands. We expect a yield improvement in that product this year. Okay, next question. 
Operator: Your next question comes from James Hardiman with Wedbush Securities. Your line is open.
James Hardiman: Hey, good morning. Thanks for taking my call. So obviously pretty encouraging to hear that the Coronavirus issue hasn't impacted any of or doesn’t seem to have impacted the Western bookings. I was hoping you could talk a little bit about the flight cruise market coming out of China, how big is that, and is there any impact in that $0.25 number from the potential passengers flying out of China getting on ships elsewhere?
Michael Bayley: Hi James, this is Michael. Yeah, I mean we've actually been quite active in developing the outbound market and of course this kind of really hit during the spring festival week. So we had some outbound business going to ships around the world. But of course a lot of that ended up canceling. That number is built into the $0.25 that we've already spoken about. Now obviously there are -- there's really no outbound business but it peaked during the spring week and then it dropped down significantly after that. So it's really minimal impact at the moment.
Jason Liberty: And James just to add into it, the benefits, I mean obviously the ships like Spectrum of the Seas which is really dedicated to the Chinese market has a greater impact to us because 99.5% of those guests are Chinese. With the outbound space we have the opportunity to be able to source guests from other markets which will help abate some of that risk.
James Hardiman: That's helpful. And then just as a follow up and this might be difficult at this point obviously but are there any rules of thumb as we think about modeling your earnings power not just as of today but as news develops, there is sort of rule of thumb every time a voyage gets canceled, the $0.25 eight voyages would get us to about $0.03 per ship, is it that simple, I'm assuming that it's not but how do we think about that and have you thought about your communication strategy as we move forward and you learn more we're going to be getting sort of updates, press releases, or are we likely not going to hear from you for the next two or three months as news develops?
Jason Liberty: So it's not that linear or you just take a certain number of per voyage. There is variations depending on the timing of those sailings inside the months that are out there and obviously we don't have a second ship coming in now for several months. I think in terms of our communication strategy I don't think we have a set timeline to it. But I think that we kind of pride ourselves with being transparent to the investment community and as we learn more I think we would we would try to take the opportunity to share that impact.
James Hardiman: Got it. Good luck. Thanks guys.
Operator: Thank your next question comes from Tim Conder with Wells Fargo Securities. Your line is open.
Timothy Conder: Thank you and thank you for the color gentlemen, just a couple more. Jason you'd said that obviously as you continue to ramp up the technology component of your CAPEX that does have a shorter depreciable life. And then that's where some of the additional spending is occurring along with some employee costs in 2020. But is there anything you're doing maybe amping up a little bit of marketing just given everything that's gone on here year-to-date and maybe the increased uncertainty as to how that could or could not impact other areas, thankfully it hasn't so far, is there any component of that in your spending? And then also related to the cost, can you quantify for us the Grand Bahama impact to the equity income or just some ballpark area as well as the wildfires and the other geopolitical items? Thank you. 
Jason Liberty: Sure, so on the marketing side there's really more marketing costs in the first half of the year. Most of that is just driven due to the election coming up so we are trying to get ahead of that cycle. As it relates to Grand Bahama as I said the first quarter there's about $0.12 or $0.13 -- I'm sorry 12 million to 13 million of equity pickup loss due to that dry dock being closed.
Timothy Conder: Okay, and then any quantification on the Australian wildfire impact or Hong Kong and Middle East impacts?
Jason Liberty: No, but certainly Dubai due to the Middle East, Australia and Hong Kong have weighing on our yields in the first quarter.
Timothy Conder: Okay. If I may throw one other, two week cruise, how's that looking at this point, the demand from that JV on a year-over-year basis? 
Jason Liberty: Yeah, so 2019 was a more challenging top line year for the German market. But as we look into 2020 we're seeing a lot of strength in booking on both a rate and volume basis.
Timothy Conder: Great, Thank you. 
Operator: Your next question comes from Robin Farley with UBS. Your line is open. 
Robin Farley: Thanks, two questions [Question Inaudible]. 
Jason Liberty: Robin we're having trouble hearing you, it's very in and out. So I didn't even hear the question.
Robin Farley: [Question Inaudible] if you came in at the range where you've been growing yields the last three years that there would be upside to that 2025 number?
Jason Liberty: Sure, sure. So, first as Richard says we're not just trying to hit the ball we're trying to swing through the ball. And if you look at -- or in my commentary I think what we're looking for here is to leverage the investments we're making to have moderate yield growth and continue to have good cost to someone.
Robin Farley: [Question Inaudible].
Jason Liberty: So, the only word I heard there was China Robin. So why don't -- I'll follow up with you after to answer the question. But it was very difficult to hear you as well. I will follow up with you. 
Operator: Your next question comes from Stephen Grambling with Goldman Sachs. Your line is open. 
Stephen Grambling: Thanks, two follow-ups and can you hear me.
Jason Liberty: So I can hear you perfectly, yes. 
Stephen Grambling: Awesome, so first on TUI how do you think about the value opportunity in continental Europe brands whether organically through TUI or via M&A longer-term? And then second on the near-term first quarter targets, can you just talk to what is embedded in the net cruise costs, kind of across dry dock, puts and takes, marketing costs, etc.? Thanks. 
Jason Liberty: Well as it relates to your two cruises obviously I mean the performance of that brand has been exceptional and we really believe that in the German market and TUI cruises is positioned in that market. How it's trading, how it's growing in its demand. We're very happy and which makes us very excited about the German market and the overall European market. As it relates to on the cost, I think you were talking about the first quarter your cost piece, the main drivers in that first quarter are really just driven by investments in marketing and technology and in G&A. Certainly Perfect Day plays into that a little bit about 60 basis points of the first quarter cost increase.
Stephen Grambling: So I guess a quick follow up on that. So can you -- is there any way you can help quantify the dry dock puts and takes as we think about the ships that are in and out and maybe the cost of each?
Jason Liberty: Well the dry docks for the first quarter in itself it's lighter in the first half of the year than it is -- I am sorry there's more dry docks in the first half of the year than there is in the first. So probably about a point of that cost increase more or less about a point of the cost increase is driven by us having more dry dock days in the first half of the year -- in the first quarter.
Stephen Grambling: Great, thanks. I'll jump back in the queue. Thanks. 
Operator: Your next question comes from Brandt Montour Montoya with J.P. Morgan. Your line is open.
Brandt Montour: Great, thanks for taking my questions. So you noted the contingency plans that you have in place in China. I'm just wondering if the present situation continued on like it is and the Greater China industry also looking to move ships elsewhere which markets do you think will most likely be the most popular targets and how does that play into your strategy?
Jason Liberty: So Brandt obviously we're monitoring events and we're looking at competitors. We have our plans in place, we have alternatives, we thought it through. I really don't actually want to go into detail on this call about what those plans are because we are in a very competitive environment so we don't want to start talking about where we're planning on deploying if this really does play out to much longer time span.
Brandt Montour: Fair enough, okay. And then on fuel just given the mix shift in the way that your hedge book is probably changed now versus 12 months ago can you give us sort of a sensitivity between the two fuel grade or fuel grade mix on the at the pump portion of your exposure? 
Jason Liberty: Well, our goal is to mainly have a similar mix of our fuel to the balance of 2020 as we had in 2019. We are more hedged on the MGO side and in those schedules we will get published [indiscernible] later in the day for you to be able to have the mix of fuel and those hedge positions and then from there you should be able to look at the flex in MGO and IFO fuels.
Brandt Montour: Great, okay. Thanks everyone.
Operator: Your next question comes from Assia Georgieva with Infinity Research. Your line is open.
Assia Georgieva: Good morning, couple of questions. The first one in terms of China and enforcement of people who have travelled to China in the past within the past 15 days that seems to be somewhat easy looking at their passports but it seems that a couple of the other items that you intend to enforce seem to be on an honor system whether they've been in contact with individuals or reports feeling unwell. Do you think that would be enough to prevent a negative event where you have even let's say one passenger reported with the virus because we saw what happened with Costa and that was a significant hit?
Michael Bayley: Yeah hi it is Michael. Obviously it's a very dynamic and moving situation. We're monitoring this on a daily basis where we have a medical team as part of our company and we're very connected to the World Health Organization and CDC. I think you'll see that as each day passes different countries enforce different rules, protocols, and regulations. We implemented protocols early last week about almost up to two weeks ago. And we're monitoring all of these different protocols. So I think with regards to people who from, to, or transited through Mainland China or Hong Kong nearly all countries now are adopting the same kind of protocols generally. We also have as you say part of it is an honor system. But we have a secondary screening system in place on our fleet that's been in place now for quite some time which monitors activity in passports and of course the passport holder themselves. And we are taking temperatures etcetera, etcetera. So yes, you're right. I mean I think it's of course a possibility but not only our countries but our company itself are taking a series of what we believe to be very prudent and sensible actions that will not entirely eliminate the risk but massively minimize this risk.
Assia Georgieva: Thank you Michael and I definitely will not be allowed on the ship because I'm under the weather as you might be able to hear from my voice. But it's good to know that you're monitoring temperature etc. And as a follow up airlift that has been limited could that affect voyages that sail out of Japan or other destinations in the Pacific including to Australia?
Michael Bayley: Yeah, I mean I think again to my previous comment it's really a dynamic moving situation. There are various changes that are being put into place by different countries, etc. We've seen change with airlift from the for example the Western American Airlines where they did suspend flights in and out of China until the end of March. We're not really seeing a lot of regional disruption in terms of flights, etc. What we are seeing is different countries adopting these various protocols which seem to be moving to a similar protocol. I think the World Health Organization made a point last week when they spoke about the smaller countries that obviously have less resources to deal with this and they tend to still be making different decisions as it relates to their individual protocols. But that's more of an impact on individual itineraries and of course we always have alternative ports to go to visit. So again it's difficult to answer specifically. I think it's just a dynamic moving situation. The good thing is, is that there is a really universal effort to work together to contain and minimize the impact of this situation.
Assia Georgieva: Fair enough and then if I can sneak one last one and here's my wishful thinking possibly with 2020 now in place do you think and maybe Jason you might be able to answer this best, do you think that we might see a decline in ISO prices which would offset the increased demand for MGO to a point where we're not going to see quite as much of a pickup in fuel prices post hedge? 
Jason Liberty: Yeah, well I think that is a working theory. It's also why if we look at our hedge position we are hedged more in MGO than we are in IFO because it is rational that as time goes on here demand for IFO is going to drop -- continue to drop in and of course demand for MGO is going to continue to rise. Operator we have time for one more -- operator we have time for one more question. 
Operator: Thank you. Your last question comes from Vince Ciepiel with Cleveland Research. Your line is open.
Vince Ciepiel: Great, thanks. Just big picture, just curious how you feel today versus back in November setting aside the impact of Coronavirus, kind of across your core North American or European markets, how do you feel about the trajectory of bookings and pricing growth and maybe specifically I think it was in November that you noted pricing was tracking ahead for all quarters, I'm just trying to reconcile that with 1Q which I guess it's kind of guided flat. But has anything changed in the last 90 days with 1Q specifically?
Richard D. Fain: No. This is Richard. I think we were feeling quite good then and we have been reassured by seeing the call volume and the response on bookings in the Wave period. As we said there are some exceptions and we've pointed it out a couple in the Gulf and in Australia. But the strength of the bookings frankly we have found outside of the Coronavirus we have found really very reassuring. So I think just from an overall point of view we feel quite good about the year. 
Jason Liberty: And Vince just to add in our last call when we talked about the cadence of our yield growth we did point that we expected Q1 to be wider because our yields last year were up over 9% and then of course we had Cuba, we were going to have to deal with which is impacting us by 120 basis points. So we knew that Q1 was going to be a more challenging quarter which is why we said it at that point in time. But if you -- but if you listen to our just our what we say since our last call our bookings have trended up by 6% for 2020. That would just show that our sentiment broadly is very, very good.
Michael Bayley: You know we've made this point in previous calls, most industries when you look through the calendarization it is -- this cycle is time to define. And so you expect a certain sequence between the quarters. Our quarters within the year tend to be more defined by specific events the delivery of a new ship, when the dry docks take place. So ours is more episodic and we have known and tried to telegraph for a while that the first quarter of this year episodically is low. But that doesn't impact our overall position for the year. 
Jason Liberty: Okay, thank you for your assistance, Mariama with the call today. And we thank you all for your participation and interest in the company. Carola will be available for any follow ups you might have and we really wish you, all of you a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.